Operator: Welcome to the QuidelOrtho Third Quarter 2024 Financial Results Conference Call and Webcast. At this time, all participant lines are in a listen-only mode. For those of you participating on the conference call, there will be an opportunity for your questions at the end of today's prepared remarks. Please note this conference call is being recorded. An audio replay of the conference call will be available on the company's website shortly after this call. I would now like to turn the call over to Juliet Cunningham, Vice President of Investor Relations.
Juliet Cunningham: Thank you. Good evening, everyone, and thanks for joining the QuidelOrtho third quarter 2024 financial results conference call. With me today are Brian Blaser, President and Chief Executive Officer; and Joe Busky, Chief Financial Officer. This conference call is being simultaneously webcast on the Investor Relations page of our website. To aiding the discussion, we posted a supplemental presentation on the Investor Relations page that will be referenced throughout the call. This conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Statements that are not strictly historical, including the company's expectations, plans, future performance, and prospects, are forward-looking statements that are subject to certain risks, uncertainty, assumptions, and other factors. Actual results may vary materially from those expressed or implied in these forward-looking statements. Information about potential factors that could affect our actual results is available in our annual report on Form 10-K for the 2023 fiscal year and subsequent reports filed with the SEC, including the Risk Factors section. Forward-looking statements are made as of today, November 07, 2024, and we assume no obligation to update any forward-looking statement except as required by law. In addition, today's call includes discussions of certain non-GAAP financial measures. Tables reconciling these non-GAAP measures to their most directly comparable GAAP measures are available in our earnings release and the supplemental presentation, which are on the Investor Relations page of our website at quidelortho.com. Lastly, unless stated otherwise, all year-over-year revenue growth rates given on today's call, are given on a comparable constant currency basis. And now I would like to turn the call over to our CEO, Brian Blaser.
Brian Blaser: Thanks, Juliet. Good afternoon everyone. I'm pleased to be here with you today and share our third quarter 2024 results. We reported third quarter revenue of $727 million, adjusted EBITDA of $171 million and adjusted diluted EPS of $0.85. Our results demonstrate solid progress in executing our business improvement initiatives, including our previously communicated $100 million in annualized cost savings that we expect to realize through the first half of 2025. After my remarks, Joe will cover our detailed quarterly financials as well as provide our full year 2024 financial guidance, which we reinstated today. I would also like to highlight the key focus areas where we see the greatest opportunity for improvement in profitability and growth. During my first six months here at QuidelOrtho, we undertook an extensive review of every part of the business. I continue to be excited by the opportunity to serve our customers across the entire healthcare continuum and meet patients' needs in every care setting and at every step of the journey from prevention to diagnosis, treatment and monitoring. To meet those needs and to do so profitably, we need the right people, the right products, rigorous discipline and a strong cultural mindset that places customers and quality first. With that objective in mind, we strengthened our leadership team with the recent addition of two highly experienced industry leaders, Jonathan Siegrist as Chief Technology Officer and Lee Bowman as Chief Human Resources Officer. Jonathan has a proven 15-year track record in molecular diagnostics, microfluidic platforms and biomedical engineering. He most recently was the CTO and Head of Assay Research and Development at Cepheid. Lee brings over 25 years of experience leading teams through transformative initiatives in workforce engagement and leadership development at Edwards Lifesciences, Levi Strauss & Co., and Target. Lee's expertise in developing talent in a high performing workplace is critical as we create a winning continuous improvement culture and drive continued growth here at QuidelOrtho. In addition, we are aligning our leadership structure to be a flatter, more agile organization to increase our customer focus, reduce complexity and improve our efficiency and cost structure. As part of this effort, Mike Iskra, Chief Commercial Officer; and Rob Bujarski, Chief Operating Officer, will be leaving the company. We’re grateful to Mike and Rob for their contributions in leading the QuidelOrtho commercial and operations teams, and fostering a culture of collaboration. Going forward, our global regions will be fully aligned with our business units. And both the business unit and global regional leaders will report directly to me. The alignment of our leadership team is designed to improve the way we run the business and enable us to achieve consistently improved performance over time. We believe the changes we are making are designed to better leverage the scale of our global commercial team, accelerate cross selling opportunities and continue to build a customer-focused organization. As part of delivering on our customer commitments, we remain steadfast in achieving our product timelines and improving our business efficiency. Under Jonathan’s leadership, we’re focused on executing our key R&D priorities including increasing our R&D productivity, expanding our menu and advancing critical platforms. While Savanna is only one of our initiatives, we believe Savanna and Molecular in general is an important driver of future profitable revenue growth. We plan to enter clinical trials with our respiratory panel as the respiratory season develops and to be in market in the later part of 2025. To improve our cost structure we are also in the early phases of implementing cost and process improvement initiatives in procurement, supply chain, manufacturing quality and IT. We expect these initiatives to enable us to operate more effectively and deliver incremental margin contributions in 2025 and 2026. We plan to provide greater detail in the coming quarters as we move ahead. Lastly, I think it bears repeating that we are focused on challenging every aspect of our business to do more for our customers and improve profitable growth. I’m proud to be the leader of QuidelOrtho. I’m excited about the improvements that we’re making. And I look forward to updating you on our progress next quarter. With that, I’ll hand it over to Joe.
Joe Busky: Okay, thanks Brian. Let’s begin with the details of our third quarter and year to date 2024 results on slides 3 and 4 of the earnings presentation which is posted on our IR website. I will also provide our reinstated full year 2024 financial guidance and then we will open up the call for questions. Unless stated otherwise, all year-over-year revenue growth rates on today’s call are provided on a comparable constant currency basis. During the third quarter and the first nine months of 2024 our business performed well and we continue to see healthy customer demand and momentum. Total reported revenue in the third quarter of 2024 was $727 million which declined by approximate due to higher COVID-19 and flu revenue in the prior year period. While foreign currency exchange did not have a material impact on overall third quarter results, we had a negative 100 basis point FX impact in our Labs business, which has a global footprint. Third quarter 2024 recurring revenue, which we define as revenues from sales of our assays, reagents, consumables and services and excludes instrument revenue, was $598 million as reported with no significant change in constant currency. This figure excludes COVID-19 and U.S. Donor Screening revenue. Recurring revenue growth was 1% in Q3. Underlying Labs recurring revenue growth was 6% but was offset by a decline in cardiac revenue mainly due to expected order timing between Q3 and Q4 in China. Total reported year-to-date revenue was $2.1 billion and total year-to-date recurring revenue was $1.74 billion or 5% growth compared to the prior year period. Again this excludes COVID-19 and U.S. Donor Screening revenue. From a regional perspective our third quarter 2024 total revenue performance was led by EMEA growth of 12% and 8% growth in our other region which is comprised of Japan, Asia-Pacific and Latin America. North America declined by mid-single digits due to higher respiratory revenue in the prior year period and U.S. Donor Screening business wind down. In China, our Labs business grew 5% year-over-year that growth was offset by softness in Transfusion Medicine and cardiac point-of-care products. And as a result, China revenue declined by 1% year-over-year. We continue to expect growth in the region to be strong in Q4 and in the high single-digits for the full year 2024. We continue to closely monitor both value-based pricing initiatives and the impact of China's anticorruption policies as potential headwinds. We have not been meaningfully impacted by VBP initiatives to-date and do not expect significant impact in the near-term. As we discussed last quarter, we have seen customer delays in a small number of instrument purchases and installations due to the Chinese government's anticorruption policies. We believe these disruptions will abate in 2025 as customers adjust to these ongoing governmental policies. In addition, there may be some changes to reimbursement on cardiac products in certain Chinese provinces which could negatively impact our sales in China. On the positive side, the recently announced economic stimulus planned by the Chinese government could represent the potential future tailwind. China continues to be a complex market that we are monitoring closely, but despite these dynamics we believe our China business is solid and we see more potential upside than risk at this time. Moving to our non-respiratory business which includes labs, transfusion medicine and cardiac point-of-care products. Third quarter 2024 revenue grew 1% in constant currency year-over-year. Labs revenue achieved expected growth of 5% compared to the prior year period. Within our Labs installed base, integrated and automated analyzers grew 7% and 17% respectively, compared to the prior year period. The growth in integrated and automated analyzers continues to show that our commercial go-to-market strategy is working and we continue to expect mid single-digit revenue growth in this business. Moving to Transfusion Medicine, I want to highlight that we are now breaking out immunohematology and donor screening as separate line items to provide greater transparency to the impact of largely winding down the U.S. Donor Screening business by the end of 2025. Immunohematology revenue grew 3% and donor screening declined by 20% in the quarter as expected. The respiratory side of the business performed well versus our expectations during the third quarter with strong performance from our Sofia flu, COVID-19 combo test and we had $72 million in COVID-19 revenue in the quarter. On a year-over-year basis, total Q3 respiratory revenue was down $20 million or 11% due to higher COVID-19 and flu revenue in the prior year period. In addition, our distributors began their normal ordering patterns for flu, RSV, strep products ahead of the fourth quarter which points to a typical flu season. I'd also note that distributor respiratory inventories were at expected levels which were slightly down compared to the prior year period. Now moving down the P&L, Slide 5 shows third quarter 2024 adjusted gross profit margin of 49.2% versus 50.5% in the prior year period. The 130 basis point decrease was expected and primarily driven by higher COVID-19 and flu sales in the prior year period. Non-GAAP operating expenses of $232 million including SG&A and R&D decreased by $17 million compared to the prior year period and was down sequentially by $4 million. We continue to expect a benefit of at least $50 million in the second half of 2024 due to the cost actions we have already taken. And looking ahead to Q4 on a sequential basis, we expect our realized cost savings and total OpEx to be offset by timing of selling and marketing costs in Q4. As a result, we expect total OpEx to be relatively flat to Q3. Adjusted EBITDA was $171 million compared to $169 million in the prior year period. Adjusted EBITDA margin was 23.5% which represents a year-over-year improvement of 80 basis points due to the cost savings actions we have taken offset by lower revenue for respiratory tests which are high margin contributors. Notably Q3 2024 was the first quarter in nine quarters to achieve growth in both adjusted EBITDA dollars and margin since the pandemic. Adjusted diluted earnings per share was $0.85 compared to adjusted diluted EPS of $0.90 in the prior year period. This year-over-year change was primarily due to the higher respiratory revenue in the prior year period and higher interest expense in the current period offset by our cost savings initiatives. Our third quarter effective adjusted income tax rate was 23.7%, which is in line with our full year expectations. Turning now to the balance sheet on Slide 6. We finished the quarter with $144 million of cash. As of the end of Q3, we had $230 million in borrowings on our $800 million revolver. This is a decrease of $23 million from the second quarter as we begin to pay down the revolver. Keep in mind our first capital allocation priority continues to be debt pay down. Third quarter 2024 recurring adjusted free cash flow was $120 million, which represents 70% of adjusted EBITDA. We continue to expect adjusted free cash flow to be positive in the fourth quarter and for the full year 2024. In addition, we expect adjusted recurring free cash flow in the second half of 2024 to exceed 50% of our second half adjusted EBITDA. During the third quarter of 2024, our consolidated leverage ratio from the base of the financials is 4.1 times and 3.3 times including pro forma EBITDA adjustments as permitted and defined under our credit agreement. Based on our current projections, we expect our consolidated leverage ratio to remain relatively flat to current levels at year-end. Lastly, on Slide 7, following the business review that Brian conducted upon joining the company, as well as the increased visibility we have after executing some of our cost savings initiatives, I will now provide our full year 2024 guidance. I note that our guidance is in line with the comments we made earlier in the year. We expect full year 2024 total reported revenues of between $2.75 and $2.80 billion, adjusted EBITDA of between $530 million and 550 million, which equates to a range of 19.3% to 19.6% adjusted EBITDA margin and adjusted diluted EPS of between $1.69 and $1.91. These expectations are based on a set of assumptions as follows. We assume fourth quarter 2024 non-respiratory revenue will be in line with the commentary we shared earlier this year including labs, business growth expected in the mid-single digits and transfusion medicine excluding U.S. Donor Screening expected to grow in the low-single digits. Now for respiratory revenue, we assume a typical flu season this year with a 50 million to 55 million test market, similar market share to 2023 and greater than 50% of flu product revenue coming from our combo test. Note that we are not changing our full year assumptions on the respiratory season from earlier this year. In our view, the higher respiratory revenue we saw in Q3 is timing-related and not expected to increase our full year 2024 outlook. In addition, we assume full year 2024 COVID-19 revenue will be in the range of $160 million to $170 million, which includes about $17 million in government contracts in 2024. We assume cost savings of at least $50 million in the second half of 2024 as part of our $100 million annualized target. And note that in Q4, we also assume a year-over-year increase of $25 million to $30 million in SG&A expense related to expected bonus accruals that were not included in the prior year period since we did not meet our performance targets last year. We assume second half and full year 2024 positive adjusted free cash flow to exceed 50% of adjusted EBITDA including expected full year interest expense of $160 million to $165 million and we assume CapEx of approximately $170 million excluding reagent rentals. We plan to provide our detailed 2025 financial guidance when we report our full year 2024 results in February. But directionally in 2025, we are expecting. Top line growth in the mid-single digits excluding COVID-19 and U.S. Donor Screening revenue, which we expect to be $40 million to $50 million as that business winds down. Expected labs growth in the mid-single digits and transfusion medicine growth excluding U.S. Donor Screening in the low single digits, increased cross selling efforts of legacy Quidel products outside of the U.S. More to come on the 2025 respiratory expectations as we exit this year, but we expect to use the same forecast methodologies we use this year, which includes the number of flu tests per year, our market share and product mix. We expect COVID-19 revenue to decrease year-over-year by at least $17 million, which is related to the 2024 government contract that is not expected to repeat. And importantly, we expect to realize the remaining benefit of our previously announced $100 million in annualized cost savings in the first half of 2025. We expect these initiatives among other things, we expect to deliver adjusted EBITDA margin improvement of approximately 100 to 200 basis points compared to the 2024 year end exit rate depending on the timing of the 2024-2025 respiratory season. All right, now wrapping up. We believe our solid third quarter performance demonstrates progress as we remain focused on our top priorities and execute on our cost savings and business efficiency initiatives. Based on the progress we are making, we are pleased to reinstate our 2024 financial guidance and provide an initial outlook for 2025. We are optimistic about the path ahead and look forward to providing further updates in future quarters. And with that I will now ask the operator to please open up the line for questions.
Operator: Absolutely. We will now begin the Q&A session. [Operator Instructions] The first comes from Andrew Brackmann with William Blair. You may proceed.
Andrew Brackmann: Hi guys. Good afternoon. Thanks for taking the question. Maybe I can pick up where you left off there, Joe, related to 2025 and the adjusted EBITDA margin target that you sort of laid out there, I think it was 100 to 200 basis points compared to the 2024 exit rate. So by my math, I think that means call it, somewhere in the low-20s for adjusted EBITDA margin for next year. Can you maybe just sort of talk about high level, the building blocks that get you there? How does that $100 million in annualized cost savings roll in throughout the year and any other thing, cost saving initiatives that we should be penciling in here. Thanks.
Joe Busky: Sure. So – and by the way, thanks, Andrew. So, yes, here's how I put together the more significant building blocks of that 100 to 200 basis points of margin improvement off the exit rate of this year's margin. First, we'll have the roughly $50 million of cost savings that relate to the first $100 million actions that we've already executed that'll come in the first half of the year. And then, there are additional cost savings initiatives that Brian hinted at in his prepared remarks that we haven't really framed out yet. But these are all in progress. And these are going to be in really all the areas that Brian laid out. I think, procurement IT really across all the areas. And I would say that, this org structure, the flattening of the org structure is probably a good example of what that will be and what types of things that will be in that second tranche of cost savings that's over and above the $100 million that we've already executed on. The third thing is, there are some bad guys that I need to call out. And this is not, shouldn't be surprising, there's going to be a roughly 3% merit increase for our employees which will have a negative impact – which will have to build in. And then of course there's going to be what I call, normal inflation within the business of roughly 1% to 2%. That will be a downside in the margin calculation. And then the last thing I'll mention, which was in the script, but just to reiterate it, where – or I should say when the 2024, 2025 respiratory season starts and ends, which we don’t really know at this point, will likely or could, I should say could have an impact on where the margins eventually land for this year and next year.
Andrew Brackmann: Great. Thanks. And then if I could ask just on the labs business, it sounds like you had some nice placements there in the quarter. You’re also seeing some nice sort of recurring revenue growth in that business as well. Can you maybe just sort of remind us your visibility into the underlying demand for the consumables for that business and how should we be thinking about that for the balance of Q4 but also in the 2025? Thanks, guys.
Brian Blaser: Yes, I would say, Andrew, for the non-respiratory business, particularly the labs business and the immunohematology business, there’s really good visibility because as you know, most of these contracts we have with our customers are five to seven year contracts and there’s very predictable ordering patterns that we have with these customers. And so the non-respiratory side of the business, specifically labs, which is your question, is very predictable. So we have good visibility into Q4 and even into next year, I would say. There’s always the variability caused by timing that may slip between one quarter to the next, but generally got pretty good visibility there.
Operator: Thank you. The next question comes from Jack Meehan with Nephron Research. You may proceed.
Jack Meehan: Thank you. Good afternoon. I wanted to ask a little bit more on the respiratory season. Just checking my math. The guide, $160 million, $170 million of I guess COVID, I think that implies $20 million to $30 million in the fourth quarter. I guess just would love to hear like what – how you went about thinking about what might have been pull forward versus actual demand? It’s been like unusual respiratory season given the summer spike, but just is that – I guess just any comments on that would be great.
Joe Busky: Yes. Hey Jack, this is Joe. Thanks for the question. So if you look at the guide that we just put out, it is true that the variability or the range that we put out is predominantly in the respiratory space. As I just said to the previous question, the non-respiratory side of the business is fairly predictable. So there’s not a lot of range in the guide for non-respiratory, it’s really all in the respiratory space. The flu season began early last year and we really haven’t seen it pick up to that level yet. The ILI, which everyone knows is a public metric that we can all look at, is just beginning to start to tickle. Last time I looked at it was like 2% or 3%. And you’re right, the midpoint of our guide has respiratory down about 30% year-over–year. So based on the data we’re seeing from the Southern Hemisphere, there is a chance that volumes overall may be higher than the average flu season. But we are being somewhat prudent on the timing to account for the risk that the revenues could land in Q1 2025 versus Q4 this year. So, going back to Q3 last year, we had a strong Q3 with both flu and COVID and last year we expected that trend to continue into Q4 of last year, but it didn’t. And so as a result, we overcalled respiratory and we missed the quarter last year Q4. So we just really don’t intend to do that again. So we’ve – in the guide this year we have, as I said, we’ve planned that the COVID numbers will come down to about the range that you just quoted. I think that’s a fair number. And that flu would come down slightly as well versus prior year.
Jack Meehan: Okay, got it. And then wanted to follow-up on your China comments. Is it possible to frame up on the cardiac side just the potential magnitude of sales that could be exposed there? I’m not sure if that’s related to the Yanxi Province VBP, but just any color would be great. Thanks.
Brian Blaser: Yes. There are proposed decreases for certain cardiac marker, specifically is BNP reimbursement changes in various provinces. And again, this is different than VBP. Just want to make sure that's clear. We're still assessing the potential impact, Jack, but at this point we believe it'll be 1% or less of 2025 China revenue. China revenue.
Jack Meehan: Got it. Excellent. Thank you.
Operator: Thank you. The next question comes from Bill Bonello with Craig-Hallum. You may proceed.
Bill Bonello: Hey guys, thanks a lot. So two questions, one financial, one not. First of all, thanks for providing the assumptions underlying the guidance. It's really helpful and very much appreciate the prudence I am helping. Hoping you might be able to help me connect the dots a little bit between those assumptions and what sort of the implicit Q4 EBITDA outlook. It seems like if I'm doing my math right at the midpoint, it looks like EBITDA would be down maybe 250 basis points or so. That's down about $23 million on $27 million decline in revenue. I'm just sort of trying to understand, okay, which of the assumptions sort of, accounts for that and maybe, whether or not there was anything, any unusual benefit this quarter, it sounds like maybe there's some uptick in sales and marketing costs next quarter and maybe it's that simple. But…
Joe Busky: Yes. Hey, Bill, this is Joe. Good question. And so let's break it down this way for the year [ph] Q4. And again, assuming the midpoint of the guide, as we just went through on the previous question about the respiratory season. We are assuming a roughly 30% drop in respiratory revenue year-over-year, Q4-to-Q4. And so that GP or adjusted EBITDA impact, the dropping down from that decline in respiratory revenue will be the majority of what you're referring to as the EBITDA drop year-over-year. But the other big piece, there's two other pieces, I would say. one, we will have some incremental cost savings in Q4, which is a good guy. But then there's another bad guy offsetting that is the bonus accrual that I mentioned in the prepared remarks. So we did not have a bonus accrual in the previous year, Q4 because we missed our performance targets. This year we are tracking towards those performance targets and we do have a bonus accrual. And so that dynamic is causing a roughly $25 million to $30 million increase in SG&A year-over-year in Q4. That's a big part of the story.
Bill Bonello: Okay, that's super helpful and I'm glad you have a bonus accrual this year. And then just not financial, but can you talk to us a little bit more about the organizational changes that you're making and what you announced, maybe the rationale for the changes? And then just also, you know, how we might think about the risk of disruption and what you're doing to mitigate that risk?
Brian Blaser: Sure. Bill, this is Brian. Thanks for the question. And you know, really, the decision to eliminate our Chief Commercial Officer and COO roles was all about flattening our organization, improving our speed, efficiency, and getting closer to our customers. Mike and Rob did a great job for the business, had a really significant impact on our team, especially as we went through the CEO transition earlier in the year. At the customer level, this really has no impact. All of these changes are kind of at the top of our organization. We've got very strong business unit, regional commercial and functional leaders in place who are now going to report to me. So I'm excited about this organization and what it means in terms of our ability to operate more effectively and bring more value to our customers.
Bill Bonello: And just in terms of the commercial organization. I mean is it – is there a change sort of in the way the sales force is organized and are you anticipating any other kinds of change in the salesforce structure or will it be relatively transparent to the sales team?
Brian Blaser: Yes, this will be, Bill, relatively transparent to the sales team at the customer interface level. We've consolidated our regional structure. So at the – again at the top of the organization from five regions to three and we've consolidated our business units from four to two. And in doing that have affected a lot of the top of our business. But really again our customer facing impact here is non-existent. There really isn't any change at all.
Bill Bonello: Okay. Thank you very much.
Operator: Thank you. The next question comes from [indiscernible] with UBS. You may proceed.
Unidentified Analyst: Great. Thank you so much for taking my questions. Why don't you go back to the China part? I think you mentioned the cardiac reimbursement pressure is not VBP related. Do you think that the other categories could be impacted as well or it just really just the cardiac biomarkers?
Joe Busky: Yes, I believe based on what we're hearing now and the research we've done, we believe that it is cardiac only. However, as I said in the remarks, China is a complex environment and we'll continue to monitor and watch it closely. But right now we believe it's going to be limited to cardiac.
Brian Blaser: Our business there – we're heavily weighted in clinical chemistry and utilize a dry slide technology which so far the VBP actions have not been focused on. They've been more focused on immunoassay testing and wet chemistry testing in the region.
Unidentified Analyst: Got it. And then do you have any update on the Savanna platform and then also the menu kind of approval timeline, any color will be great.
Brian Blaser: Yes. So on Savanna, we continue to be on track with our RPV 4X [ph] panel to enter clinical trials during the start of this year's respiratory season. With the objective being that we'll have approval for that assay in the later part of 2025. We're not expecting any sort of significant revenue impact from that panel in 2025. Most of the ramp up will be in 2026 and 2027.
Unidentified Analyst: Got it. Thank you.
Operator: Thank you. [Operator Instructions] The following comes from Patrick Donnelly with Citi. You may proceed.
Patrick Donnelly: Hey guys. Thank you for taking the questions. Brian and I'm sure Joe, you can jump in as well. Just on the EBITDA side when you guys think about the path to that mid to high 20s that you talked about. It sounds like next year, nice 200 bps [ph] expansion. What are the key levers beyond this next 100 million leg? When you look at the organization, where do you see opportunities? Where do you see those additional levers to continue debt margin slowly towards the mid to high 20s?
Brian Blaser: Yes. So – as Joe mentioned earlier, we're really looking at a number of cost and business process improvement initiatives kind of across the P&L, whether it's in direct costs for our products, which includes everything from instrument components to plastics, biologics, chemicals to a lot of the indirect costs, travel and entertainment, distribution, freight, logistics, seeing what more we can do to be more efficient in R&D, et cetera. So there's a lot of work that we're doing on the just sort of the basic blocking and tackling cost side of the P&L. In addition, we're doing more with our commercial organization to focus our teams on the most attractive, most profitable and fastest growing segments where we have competitive differentiation and a right to win. And by doing that we not only improve our competitive win rate, but we also improve our profitability in doing that. So those are really our key areas of focus across the business. And as we get further into the implementation of some of these programs we will be providing additional visibility to those as we move forward.
Patrick Donnelly: Okay, that's helpful. And then another one on China, I've obviously talked about some of the variables, cardiac, EVP, I guess when you think about just that setup for 2025, what are you layering in for China? And then maybe just longer term how you think about that geography on the growth side would be helpful? Thank you guys.
Joe Busky: Yes, hey Patrick, it's Joe. So yes, I mean we take the same opinion. I think most in our space do that. It's definitely a complex environment and we're watching very closely all of these moving pieces that you mentioned as well as the anti-corruption policies. But we still believe that given all that's going on, we still believe this year is going to be high single digit growth in China and for next year, I would probably frame it as somewhere between mid single-digit to high single-digit and more to come on that as we frame out our 2025 operating plan and then we'll talk more about it as we – as we report on 2024 results in February. But we still, as I said before, we still see that there's more opportunity than risks and we business there is pretty solid.
Patrick Donnelly: Sounds good. Thanks, Joe.
Joe Busky: Sure.
Operator: Thank you. The next question comes from Andrew Cooper with Raymond James. Your line is open.
Andrew Cooper: Hey everybody. Thanks for the question. A lot's already been asked and you covered a lot in the prepared remarks. So maybe just one quick one for me. You talked about plans for increasing the cross selling efforts on the legacy Quidel side. I mean, we can go back to 2018 and the triage deal and trying to do that internationally with Sofia and QuickVue. How do you operationalize that? Like I said, it's been a long time where we haven't really seen that play out. So maybe just give us a sense for how you refocus the sales force on that? How you incentivize it and what you think it can contribute in terms of growth either in 2025 or over the longer term?
Brian Blaser: Yes. My observation on that, thank you for the question, Andrew, is that, I think we've made some progress there, but we're in relatively early innings with cross selling. I think we probably do more there with our triage product line than anything else. And so we are looking at how we can more effectively approach the market with that strategy. Again focusing more, utilizing our direct commercial force as opposed to reliance on distributors, which largely our Sofia businesses is heavily dependent on. So the opportunity there is to maybe shift more from that channel to the direct channel. And we're trying to understand how we can do that and incent our teams to effectively compete that way.
Andrew Cooper: Okay, I'll stop there and let others ask. Thanks.
Operator: Thank you. [Operator Instructions] The following comes from Conor McNamara with RBC Capital Markets. You may proceed.
Jose Ricardo Moreno: Good evening. This is Jose Ricardo Moreno for Conor. Thank you for taking the question. Just wanted to ask what were some of the insights you have about current opportunities within the funnel that coincide with the 28 billion China stimulus for equipment as it starts rolling into 2025.
Brian Blaser: Is this as relates to China stimulus?
Jose Ricardo Moreno: Yes, as it relates to China.
Brian Blaser: Yes. I mean, we see potential headwinds in terms of the value-based pricing initiatives and the anti-corruption policies that are being implemented. The stimulus could be a potential tailwind, but I think it's still a little early for us to understand how that's really going to play out in our market. And so we're still just in the early stages of monitoring that and the impact on our business.
Jose Ricardo Moreno: Thank you. And then just one more on the immuno business. A lot of those contracts are five to seven years, in particular those instruments replaced during COVID in 2020. Where do you see the dynamics of the equipment replacement cycle happening starting now going into 2025?
Brian Blaser: Generally speaking, whether it's our labs business or our point of care business, we do have longer contract cycles, we have very high retention rates on our existing placements and we have a positive win loss ratio on new business. So, I think the over overall dynamic there really supports the stability of our underlying business model and that sort of mid-single-digit growth rate, especially for our labs business.
Jose Ricardo Moreno: Thank you so much. Good job in the quarter.
Brian Blaser: Thank you.
Operator: Thank you. The final question comes from Casey Woodring with JPMorgan. You may proceed.
Casey Woodring: Great. Thank you for taking my questions. Maybe to piggyback on Patrick's question a little bit earlier, you know that second tranche of cost savings you mentioned on top of that 100 million run rate in savings here in that first tranche, would you realize those in 2025 and would those help bridge kind of the gap in 2026 and 2027 between the low 20s EBITDA margin in 2025 and that kind of mid-to-high 20s margin in the outer years on target you maintained or would you see, would you need to see more kind of cost savings and execution to reach that?
Joe Busky: Hey Casey, it's Joe. Yes, I think this second tranche that was mentioned in Brian's prepared remarks would have an impact into 2025 and 2026. It's not all 2025. And again we'll, we'll try to provide more visibility into sizing that up on the next quarterly call as, we get through it. And I think just keep in mind that we are going to be moving to what I would call a continuous improvement culture of, looking for cost savings and efficiency. So that there certainly will be more to come. The other area I'd call out as a tailwind, if you will, for the margin improvement is going to be the exit of the donor screening business. That's a dilutive business as you know. And as we exit that at the end of next year, that's going to provide a tailwind to the margins as well.
Casey Woodring: Okay, got it. So that the low 20s and 2025 assumes the cost savings that you haven't identified yet. Is that kind of a particular?
Joe Busky: Well, I would say it a different way. I would say that we haven't fully communicated to you yet into the street, but we have the majority of it fleshed out. And again, a good example is the flattening of the organization that Brian mentioned today.
Casey Woodring: Okay, got it. Helpful. And maybe just one last one. Quickly, your respiratory framework. Can you just give us an updated picture on what the competitive landscape looks like there? And you noted that we should expect similar market share to 2023. Can you just remind us kind of where you saw that last year and what it looks like now? I know that there's a number of players in that space that have been talking about, solid growth in their own respiratory panels. So just kind of curious on the updated picture to share. Thank you.
Brian Blaser: Sure. Yes. So we are the leader in the respiratory space, and I think the other large players are going to be avid, and then there's some smaller players. And, we've got a decent track record of the last couple years post-pandemic of taking market share. And as I said in the guidance that we provided, we've assumed similar market share to last year. But obviously internally, we are working very hard to increase our market share and beat that target. So more to come again as we finalize this respiratory season. When we talk to you guys in February, we can report on what that looks like.
Operator: Thank you. There are currently no other questions in queue. Thank you for attending today's call. This concludes today's call. Hope you have a great rest of your day.